Operator: Good day, and welcome to the Arconic Corporation Second Quarter 2022 Earnings Conference Call. [Operator Instructions].̱ Please note today's event is being recorded.  I would now like to turn the conference over to Shane Rourke, Director of Investor Relations. Please go ahead, sir.
Shane Rourke: Thank you, Rocco. Good morning, and welcome to the Arconic Corporation Second Quarter 2022 Earnings Conference Call. I'm joined today by Tim Myers, Chief Executive Officer; and Erick Asmussen, Executive Vice President and Chief Financial Officer. After comments by Tim and Erick, we will have a question-and-answer session.  For those of you who would like to follow along with the presentation, the slides are posted under the Investors tab on our website. I would like to remind you that today's discussion will contain forward-looking statements relating to future events and expectations. You can find factors that may cause the company's actual results to differ materially from the projections presented in today's presentation in earnings press release in our most recent SEC filings.  In addition, we've included some non-GAAP financial measures in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today's earnings press release and in the appendix in today's presentation.  With that, I'd like to turn the call over to Tim.
Timothy Myers: Thank you, Shane, and good morning, everyone. I'll start on Slide 4 with some key highlights for the quarter. In the second quarter, we grew adjusted EBITDA by 9% over last year, which would have been better absent some ramp-up issues in our Tennessee facility. And we remain on pace to deliver another year of solid double-digit growth in 2022.  Demand across our end markets remained strong, and our operations generated $162 million in cash in the quarter, which will be fundamental to growing -- as growing free cash flow is supporting high-return organic investments and substantial returns to our shareholders.  In June, we held an Investor Day and announced long-term adjusted EBITDA targets, along with our Phase 3 organic investment program. I enjoyed the opportunity to tell our story and meet many of you live for the first time. While we're just setting off on that journey, the demand we saw in the second quarter gives us continued confidence in meeting those targets.  Packaging demand continues to grow as can makers add capacity and consumer preferences shift to aluminum. Industrial pricing and orders are strong as trade actions have leveled the playing field in that market. Despite that strong demand, our industrial performance suffered in the second quarter due to equipment-related issues, hindering our production ramp-up at Tennessee. We are working to resolve those issues within this quarter and expect to reach full production rates at the facility in the fourth quarter.  Ground transportation is improving modestly as semiconductor supply stabilized, but production still remains depressed versus historic levels. The aerospace recovery is accelerating and the strong building construction growth supported by North American nonresidential demand.  Our long-term plan is expected to deliver adjusted EBITDA at a roughly 10% CAGR through year-end 2025 to an approximate $1.2 billion run rate. At our Investor Day in June, we also announced that we were evaluating the sale of our Kawneer business. We have decided to pause that process due to current uncertainty in the debt markets.  Kawneer is a very valuable and highly performing business, and we do not believe we would receive proper value for it under current economic and market conditions.  Moving to Slide 5. I'll provide some more detail on how we performed across our key markets. So what should you take away? First, organic revenue growth in the quarter was again led by aerospace, packaging and building and construction. Aerospace grew at the highest relative rate for Arconic, for the first time since separation as the market recovery continues to accelerate and the channel continues to destock.  Packaging continued to ramp up in Tennessee through the quarter and remain strong internationally. Building and construction was very strong again due to the combination of pricing and sustained demand.  Now let's go around the corner -- on the bottom right corner of the slide. In total, our organic revenue was up 17% over last year. Ground transportation sales increased 10% organically year-on-year, reversing course from a 10% year-on-year decline in the first quarter. We're beginning to see some stability in automotive and heavy-duty truck demand, but production levels remain solidly below historical levels.  Following a 22% organic increase in the first quarter, second quarter Building and Construction sales increased 29% organically year-on-year. This is again a result of pricing actions, as well as strength in North American nonresidential construction spending. Sales in the packaging market grew 47% organically year-on-year due to the ongoing ramp-up at our Tennessee facility. Sales grew 30% sequentially as the ramp accelerated substantially in the second quarter. Russian packaging organic revenue was flat year-on-year.  Second quarter sales in the industrial market declined 11% organically year-on-year. The market and pricing remains strong for industrial, but we had some facility-specific issues in Tennessee that limited our ability to meet available industrial demand as we ramp the facility to full capacity across automotive, industrial and packaging, we had equipment problems that disrupted the efficiency of the flow path.  We'll address these issues this quarter, but it will require an outage in Tennessee that will create a similar headwind in the third quarter. We expect to be back at full capacity in the fourth quarter.  Finally, second quarter aerospace sales were up 50% year-on-year on an organic basis. If you look back at the last several quarters, year-on-year organic growth continues to accelerate. Our aerospace shipments declined by double digits in the first half of last year. They were down 4% organically in the third quarter of 2021, before returning to organic growth of 19% in the fourth quarter, 32% in the first quarter and now up 50% in the second quarter. We're encouraged by consumer demand for air travel and the ramp of orders in production in large commercial aircraft.  I'll now turn it over to Erick to discuss the second quarter results in more detail.
Erick Asmussen: Thanks, Tim. I'll start on Slide 6 with our second quarter financial highlights. Revenue was $2.5 billion, up 17% organically year-over-year. Net income for the quarter was $114 million or $1.05 per share compared with a net loss of $427 million in the second quarter of 2021.  Our second quarter net income included an after-tax net foreign currency gain of approximately $48 million, primarily related to foreign exchange fluctuations in Russia and the second quarter of last year included an after-tax noncash pension settlement charge of $423 million.  Adjusted EBITDA was $204 million, which was an increase of 9% year-over-year. Free cash flow for the quarter was $129 million and is improving as a result of declining aluminum prices. Also in the quarter, we further improved our days working capital by approximately 5 days as we continue to focus on smart sizing our system working capital.  As Tim mentioned, we are increasing our free cash flow guidance for the year to approximately $300 million to reflect the now lower aluminum price. In the quarter, we repurchased approximately 1.3 million shares. Since we announced this program in May of last year and through the end of the second quarter, we repurchased approximately 6.7 million shares or approximately 5% of our outstanding shares for $214 million against our $300 million program.  Lastly, we ended the quarter with strong liquidity with cash and available liquidity of approximately $1.4 billion. Turning to Slide 7. I'll discuss our financial performance in more detail.  Revenue in the second quarter increased $747 million year-over-year, primarily due to the impact of higher aluminum prices, as well as realization of pricing actions and improved volume and mix. Adjusted EBITDA for the quarter was $204 million, up $17 million or 9% year-over-year due to improved pricing, volume and mix, partially offset by inflation.  As Tim mentioned, we experienced ramp-up issues in Tennessee and this impacted earnings. And we expect to have the equipment pairs completed in the quarter. We continue to push to offset inflation with pricing actions, and we have experienced high inflation. Our savings net inflation was a negative $154 million as our shaft productivity impacts were limited due to production issues and could not offset the approximately $150 million of inflation in the quarter, primarily from energy, transportation and alloying materials.  Turning to Slide 9, I'll review our segment performance in more detail. Starting with our Rolled Products segment. Revenue in the second quarter was approximately $2.1 billion, up 14% organically year-over-year, driven by the growth in every market, except industrial, which was impacted by the operational issues in Tennessee.  Adjusted EBITDA in the quarter was $174 million, up $1 million or 1% year-over-year, reflecting stronger price, volumes and mix, which were offset by operational inefficiencies and cost inflation.  Revenue on our Building and Construction Systems segment in the second quarter was $329 million, up $72 million year-over-year and up 26% organically. Adjusted EBITDA was $53 million, up $18 million or 51% year-over-year, driven by increased prices, which offset the inflation and higher aluminum costs we are experiencing.  Revenue in our Extrusion segment in the second quarter was $105 million, up 43% organically year-over-year. Adjusted EBITDA was a loss of $12 million versus a loss of $8 million last year's pricing actions, and volume growth were offset by inflation and operational issues. This segment continues to underperform due to productivity declines driven by equipment and labor issues, compounded by legacy contracts.  Now moving to Slide 9, I'll review our outlook by market. Ground Transportation organic revenue remains in the range of 5% to 10% year-on-year. While automotive production is improving, we continue to see uneven order patterns from our customers. We are also seeing similar trends in commercial transportation markets.  We are reducing our industrial organic revenue growth expectation to 5% to 10% year-over-year from 10% to 15% due to the issues in Tennessee in the second quarter. We are working to get things back on track, and we now expect to be at full run rates in our Tennessee operations in the fourth quarter, which will allow us to be able to better serve the industrial market.  Nonresidential construction activity remains solid with growth and pricing improvements supporting our ongoing view of 15% to 20% year-on-year. Packaging growth outlook for North America and China remains strong, and our expectations remain in a wide range of 20% to 40% year-on-year and its due to uncertainty in the supply chain in Russia.  Aerospace organic revenue is now expected to grow 35% to 45% year-on-year. Our expectations for aerospace growth have been improving throughout the year as OEMs continue to increase their production rates.  Now I'll turn it back over to Tim to discuss our capital growth projects.
Timothy Myers: Thank you, Erick. Slide 10 provides an overview of our Phase 2 and Phase 3 organic growth programs. The casting to expansion at Davenport was completed on budget and is now undergoing trials. We will see some benefit to EBITDA from the project in 2022 with full run rate occurring in 2023.  The Lancaster Hot Mill project is on time and on budget as well. We plan to install the hot mill stand in September, begin qualification trials in the fourth quarter, and start ramping up production through the first quarter of next year. As a reminder, this project expands Lancaster output by about 100 million pounds per annum.  In total, these 2 projects should drive about $75 million of run rate EBITDA by the end of 2023, and had a total budget of $100 million. On the bottom part of the slide, you can see the 7 projects that we announced in June that comprised Phase 3 of our organic growth program.  All these projects are in various stages of planning, they're advancing well, and we are committed to bringing them to completion on time and on budget. There is additional detail on these projects in our June Investor Day presentation. In total, these projects have a capital budget of approximately $550 million and have targeted returns on investment over 35%.  As we mentioned previously, we are currently evaluating additional high return under the rooftop internal projects for a Phase 4 program. Now let's turn to Russia on Slide 11. We announced in May that we intend to sell our Russian facility, and we are currently having talks with several potential buyers. As a reminder, we are subject to certain legal conditions on our operations that impact our ability to change production levels or sell the facility. This makes it difficult to predict the timing and to some degree, the ultimate probability of the sale.  We continue to comply with all legal obligations and support our 3,000 employees while we pursue our options. Our operations continue to run at near full capacity. Adjusted EBITDA in the second quarter in Russia was $24 million, which is flat with $24 million in the same quarter of last year.  Increased export restrictions started in July and will be impacting sales in the third quarter. There's still a great deal of uncertainty in the rest of the year, but we are increasing our guidance slightly to $50 million to $80 million from $40 million to $80 million to reflect the strong second quarter performance.  Cash at quarter end was $120 million, up from $79 million at the year-end 2021. This is primarily a result of declining aluminum prices and foreign currency fluctuations.  Let's now move to Slide 12, where I'll review our outlook for the rest of the year. Our full year 2022 revenue is now expected to be in the range of $9.6 billion to $10 billion, that's down from our prior view of $10.1 billion to $10.5 billion due to the impact of lower aluminum prices, which will also benefit free cash flow.  We now expect full year 2022 adjusted EBITDA to be at the low end of the previously guided range of $820 million to $870 million. This is a result of the ramp-up issues in Tennessee, as well as cost to replace high purity aluminum associated with Century's force majeure announcement and transportation issues associated with the North American railcar labor dispute.  We are currently seeing a slowdown in railcar deliveries, which is driving inefficiencies at our Davenport operations, as well as additional costs to transload material to truck to support production.  Additionally, we continue to see high energy and alloyed material prices. While these are in our current forecast, the situation still remains fluid and we plan to execute on additional pricing actions to address these pressures in our contracting season for 2023.  Looking at the third quarter, adjusted EBITDA is expected to decline sequentially due to managing through these issues, as well as seasonality in Europe. We are rapidly addressing the production issues at our Tennessee operation that occurred in the second quarter and have action plans underway to get to full production rates in the fourth quarter. The primary issue is an equipment failure in our beverage can recycling facility as we ramped it up to full production. The failure disrupted overall production and also increased the amount of higher-cost aluminum scrap inputs with diluted can sheet margins that depend on substantial amounts of lower-cost used beverage can content.  While the can sheet ramp was able to meet full volumes, the disruptions had a knock-on effect of reducing our industrial production at the facility. The outage to repair this asset is scheduled for the beginning of September.  After we resolved these issues in the third quarter, we expect a significant ramp in adjusted EBITDA in the fourth quarter as the North American Rolled Products network reaches full production rates. We now forecast free cash flow to be approximately $300 million, an increase compared to prior expectations of approximately $250 million. The increase is predominantly driven by the impact of lower aluminum prices on working capital for the year. There's an updated free cash flow walk included in the appendix for your reference.  Since we announced the program in May of last year through July 29, we have repurchased 8.7 million shares for approximately $269 million of the $300 million authorization. We expect to complete the program before year-end.  Wrapping up, here's what I'd like you to take away from today's call. We continue to grow adjusted EBITDA and have line of sight to consecutive years of double-digit compounded earnings growth. Our diverse set of end markets are all expected to grow in the medium term, and we are well-positioned to weather any downturns. Our growing free cash flow is opening doors to new organic growth projects and substantial returns for our shareholders.  I'd like to now open up the call for questions, and I'll turn it back over to Rocco to facilitate those. Thank you.
Operator: [Operator Instructions]. Today's first question comes from Timna Tanners with Wolfe Research.
Timna Tanners: I wanted to ask a bit more about any signs of weakness in demand? And on the Kawneer sale, what do you think that you need to see to get more confident that you'd find the right price for that asset? Is it just a question of where interest rates are or is there something else that we should understand with that?
Timothy Myers: Thanks, Timna. Let me start with the second question first. I think it's really 2 primary factors for why we decided to take a pause. The first one is the debt markets, particularly high-yield debt has been -- it's been very, let's say, constrained over the last 7 weeks compared to when we made the announcement. And that, I think, was impacting a number of the parties that showed interest in the asset in our initial conversations and then kind of a growing uncertainty being expressed by both sponsors and strategic as to what the economy was going to look like in 2023, which was leading us to believe that they were going to be maybe discounting projections, and so we decided to take a pause until those 2 facts, let's say, get to a different place and continue to operate the asset, and it's performing well. I think that it will continue to have great value when we have better market conditions to contemplate a transaction. In regards to demand, as Erick kind of walked through, we're continuing to see the aerospace ramp come through. We're seeing more stability in the Ground Transportation segment, which is our largest market, clearly ramping up on the beverage can and that's all secured as well. The Building and Construction segment continued to accelerate. We continue to see good opportunity in terms of our order book and quoting activity in that business. And the industrial market, it's certainly holding up so far in the U.S. We have seen some softening in industrial in Europe in recent months. I think a lot of that associated with some of the disruptions caused by the Ukrainian conflict, and we'll have some seasonality here with the normal European shutdowns in the month of August.
Timna Tanners: If I could ask one more, and I'll hand off. On the Extrusion side, I think you were pretty candid about how that continues to disappoint, and I was hopeful that you could clarify the comment in the presentation about reassessing the product portfolio or any -- give us any color on further actions you might take to drive that turnaround you've been talking about?
Timothy Myers: Sure. I think as we look at that business, the volumes have started to restore. We've taken a lot of structural actions in that business. We took out a couple of rooftops in the last 24 months. We've restructured and simplified the facilities in terms of converting from running our own internal casting units, which are quite old facilities, and so they weren't laid out as efficiently as some of the new investment that's in the industry. But as we look at the volumes restoring and the profitability not flowing through, we're certainly looking at additional opportunities to restructure that business and simplify it. We do have particularly in one of the facilities, the majority of the volume is under long-term contracts. So we're going to be thoughtful about how we transition through that, and we should have an update on that next quarter.
Operator: And our next question today comes from Josh Sullivan of The Benchmark Company.
Joshua Sullivan: Just, the increase in the aerospace outlook, was that driven by a top-down look from what you're seeing on build rate assumptions or more of a bottom look up from what you're seeing demand pull through the supply chain?
Timothy Myers: It's the latter. I mean, the nature of aerospace, for us, it does have longer lead times, Josh. And so we can see our order book pretty much almost all the way out through the end of the year on most of our aerospace products. So the build rate assumptions haven't changed significantly for 2022. You've seen some announcements where single-aisle might ramp up a little slower in 2023 with the 2 large OEMs. But in regards to our outlook for 2022, it's really what we're seeing coming in through our orders.
Joshua Sullivan: And I guess a similar question on the automotive side. Are you [indiscernible] here? Or are you looking at the pull rates from the auto OEMs as they're coming through?
Timothy Myers: Well, we look at the pull rates. The pull rates or releases have been unpredictable for almost 2 years now. What I would say though is, we are most exposed to Ford. And as you probably saw in their earnings release, they had a better quarter in the second quarter. So we've seen more stability in the releases versus what actually goes out the door in the second quarter, and we're hoping that, that continues on in the second half.
Operator: And our next question today comes from Corinne Blanchard with Deutsche Bank.
Corinne Blanchard: Most of my questions have been answered, but I wanted to ask on magnesium supply. We have heard some of your peers or competitor having some issues. So I think any insight of your supply security would be helpful. And then the second question would be around inflation and the cost management going into the second half in 2023.
Timothy Myers: Thanks, Corinne. First of all, on the magnesium, we continue to be in good shape on supply. And that is a comment that I would say for 2022 and 2023. We did in regards to the rapid increase that we saw in magnesium prices and put a surcharge mechanism into the marketplace last year, that has been accepted. We have been, let's say, socializing with our customers, the fact that we are seeing other materials escalate at levels that we haven't seen in the past and the intention will be to expand our basket of what's going to be indexed or surcharge to make sure that we're passing those costs through because they are at records that we haven't -- levels we haven't seen in recent history. And while I'm in the mag supply, I might just will also touch high purity aluminum, because the announcement in Century with their curtailment, it was a primary supplier of high purity, we've had to go out into the marketplace and secure high purity. The good news is, I think, we are very adequately covered on supply through 2022 and 2023. That's going to put a bit of a headwind into 2022 because we're already contracted, but we'll be looking to also cover some of that inflation as we go into the 2023 contracting season.
Corinne Blanchard: And just on the inflation cost or like inflation, energy prices, so what are you seeing? Like how can we think about it for like next year?
Timothy Myers: Well, we've been able to pass it through. I think the new -- first of all, we did secure our steelworker labor contract. We have a 4-year deal there. And so now we have a very predictable set of inflation around wages, which is one of our largest cost buckets. I think the new ones that we have to really focus on for next year are certainly energy, both here and in Europe. With the energy shock that's come from the Ukrainian conflict and the high-purity aluminum, again, is a relatively new one for us. A lot of the other inflationary pressures that we have are already in our indexes. And in many cases, our customers are paying for the transportation. So we continue to look at inflation pressure and make sure that our commercial team is passing it through.
Operator: [Operator Instructions]. Today's next question comes from Emily Chieng with Goldman Sachs. [indiscernible]
Emily Chieng: My first question is just around the small sustaining CapEx increase. Could you sort of highlight exactly what that is including now versus the prior guidance? And how likely will that be sort of carried forward into 2023?
Erick Asmussen: Yes. I think the small sustaining, you can look at Tennessee, is going to be one of the big drivers, and that's going to be a driver to sustaining pressure this year. And so a lot of that is going to be done in the year.
Emily Chieng: And then maybe on that same vein, I know you're starting to put some money to work in your Phase 3 growth projects. But again, what level of confidence do you have that the budgets for those projects are likely to remain in line with prior expectations? Have you started ordering some longer lead time items required for those projects?
Timothy Myers: So there -- Emily, the projects are in various phases of engineering. We typically don't secure the long lead items until we get to what we call FEL3, which is the third phase of engineering. So we've got several of those projects. If you look at the slide that's in the presentation, the ones that are year ending 2024 are getting to the point where we can secure the long lead items. The ones that are in 2025 still need a little bit more work before we can make those commitments. So you're going to see some spending in the fourth quarter that's going to be going towards securing those contracts. We did inflate our contingency on these projects because we are in an inflationary environment. So far in the first 2 projects that we delivered, we haven't had any surprises and we haven't had any significant surprises on the ones that we're queuing up for 2024.
Operator: Our next question today is a follower from Timna Tanners with Wolfe Research.
Timna Tanners: I thought I'd hop back in, and ask a little bit more about the second half Russia, sorry if I misunderstood. But how do sanctions hit hard, if it's mostly domestic? What am I missing on the falloff in the second half? And then along the same lines, you guide to the low end of the guidance range, but is there a reason why you didn't cut guidance and kind of put a range around that lower end? Or is there still -- is there something I'm missing on a potential for still meeting the high end? I just want to understand the reasoning there a little more.
Timothy Myers: Sure. So we'll start with Russia. When the majority of the sales from our Russian facility are in packaging, the vast majority and approximately 80%, 85% of those are domestic. So the issue that we have is you can't export can sheet into Europe as part of the sanctions. I think it was sanctioned Package 5. And there was a phase-in period for that, which ended in the middle of July. So that's where the impact is to the Russian sales. Of course, continuing to work around the other side of those sanctions, which is in any equipment needs and certain chemicals coming in from Western companies are also facing restrictions and putting some pressure on the supply chain that will show up in the second half.  In regards to not reducing guidance, I mean, we're halfway through the year. We still see the aerospace ramp in front of us. We still have -- I hope to see some improvement in automotive. We don't have a lot of that in the forecast. But I think there could be some upside there. As I mentioned, we have the casting pit in Davenport coming online, which should have a financial benefit as we get to the end of the year. So we're ramping up labor, and we can flow that through effectively. I think there are opportunities for us to continue to improve our outlook throughout the year, and we're going to charge hard and will give you an update as to where we're at on our next call.
Operator: Ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to Tim Myers for closing remarks.
Timothy Myers: Okay. Well, thank you, everyone, again, for joining us today. In closing, I'd like to thank you for your continued interest in Arconic as we set the path for multiple years of double-digit earnings growth, and I'm looking forward to giving you an update next quarter.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.